Operator: Good day, and thank you for standing by. Welcome to the Q2 2024 Kadant Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today’s conference is being recorded. After the speaker’s presentation there will be a question and answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Michael McKenney, Executive Vice President and Chief Financial Officer.
Michael McKenney: Thank you, Josh. Good morning, everyone, and welcome to Kadant's second quarter 2024 earnings call. With me on the call today is Jeff Powell, our President and Chief Executive Officer. Before we begin, let me read our safe harbor statement. Various remarks that we may make today about Kadant's future plans and expectations, financial and operating results and prospects are forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks and uncertainties that may cause our actual results to differ materially from these forward-looking statements as a result of various important factors, including those outlined at the beginning of our slide presentation and those discussed under the heading Risk Factors in our annual report on Form 10-K for the fiscal year ended December 30, 2023, and subsequent filings with the Securities and Exchange Commission. In addition, any forward-looking statements we make during this webcast represent our views and estimates only as of today. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views or estimates change. During this webcast, we will refer to some non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is contained in our second quarter earnings press release and the slides presented on the webcast and discussed in the conference call, which are available in the Investors section of our website at www.kadant.com Finally, I wanted to note that when we refer to GAAP earnings per share or EPS and adjusted EPS on this call, we are referring to each of these measures as calculated on a diluted basis. With that, I'll turn the call over to Jeff Powell, who will give you an update on Kadant's business and future prospects. Following Jeff's remarks, I'll give an overview of our financial results for the quarter, and we will then have a Q&A session. Jeff?
Jeff Powell: Thanks, Mike. Hello, everyone. Thank you for joining us this morning to review our second quarter results and discuss our business outlook for the second half of 2024. I'll begin by reviewing our operational highlights for the second quarter. I'm pleased to report we had another well-executed quarter, with record demand for aftermarket parts, combined with strong capital business, leading to record revenue, record adjusted EBITDA and record adjusted EPS. Our acquisitions made in the first half of the year are performing well, and integration efforts are on track. Overall, market demand, particularly in North America remained solid in the second quarter across all operating segments. Turning next to Slide 6. I'd like to review our Q2 financial performance. We achieved a number of financial records in the second quarter, driven by our recent acquisitions and strong capital shipments. Revenue increased 12% to a record $275 million, while organic revenue, which excludes acquisitions and the impact of foreign currency translations, was $250 million. Strong execution contributed to a record adjusted EBITDA of $62 million and represented a record 22.5% of revenue in the second quarter. Record aftermarket parts revenue, combined with strong performance in capital shipments, contributed to the solid margin expansion of 150 basis points. Our adjusted EPS was also a record at $2.81. Despite sluggish industrial demand in Europe and Asia, second quarter bookings increased 17% compared to the same period last year. Organic bookings were up 5% and in line with our growth expectations. We have a healthy backlog and expect bookings in the second half of 2024 to be comparable to the first half of the year. Capital project activity remains good, but the timing of these orders is less certain. I'll provide more detail on this when I review our operating segments. I will begin with our flow control segment. As you can see on Slide 7, our flow control segment had solid bookings in the second quarter of 2024. We benefited from strong aftermarket demand and contributions from our DSTI acquisition. Organic bookings were up 5%. Revenue in the second quarter declined 4% from the previous period record of $96 million as business activity was dampened by weaker manufacturing activity in Europe and China. Our aftermarket parts revenue remained strong in the second quarter and made up 72% of total revenue. Solid operating performance led to an adjusted EBITDA margin of 29.2%. The integration of DSTI, which was acquired at the beginning of June, has been going well, and we are honored to have this leading producer of fluid rotary unions and related flow control products now a part of Kadant. As we look ahead to the second half of 2024, we expect demand to follow its historical pattern and moderate slightly in the second half. As many of you know, the first half of the year is typically our strongest in terms of bookings as our customers prepare for and execute annual spring maintenance shutdowns. Overall, the fundamentals of our end markets remain healthy, and we are well positioned to capitalize our new products and opportunities. Our industrial processing segment benefited from our acquisition of Key Knife, completed in the first quarter, as well as the strong bookings performance in prior quarters, leading to a record second quarter revenue of $115 million, up 28% compared to the same period last year. Organic revenue was up 13%, led by growth in our wood processing product line. Bookings also benefited from our recent acquisition and were up 22% compared to the second quarter of last year. Organic bookings were up 5%. Strong operating leverage boosted adjusted EBITDA margin 350 basis points to 25.7%. Looking ahead to the second half of 2024, we expect capital project activity to strengthen across all product lines in this segment. In our material handling segment, we achieved record revenue of $68 million in the second quarter with solid contributions from our acquisition of KWS, a leading manufacturer of screw conveyors and related bulk material handling equipment. After packets demand for our high-performance bailers and bulk material handling equipment was also notable in the second quarter. Bookings in our material handling segment were up 28% compared to the same period last year, due in part to the KWS acquisition. Excluding this acquisition, newer activity was up 6%, led by strong bookings at our bailer product line. The record-setting revenue, combined with solid execution by our businesses in this segment, led to a record adjusted EBITDA margin of 23.2% in the second quarter. We remain encouraged by the number of infrastructure projects underway and additional projects being planned resulting from the significant amounts of public investment at the federal and state level. Even though the timing of capital orders can shift, we expect demand in the second half of the year to be comparable to the levels we've experienced in the first half. As I conclude my prepared remarks, I want to emphasize how pleased we are with the integration process of our recent acquisitions and how our operations teams around the globe are executing strategic initiatives to create and capture more value. Looking ahead to the second half of 2024, the persistent economic headwinds lead us to believe demand for industrial products will be similar to the first half of the year. That said, our backlog is healthy, and we are well positioned to capitalize on new opportunities that may emerge as the year unfolds due to our ability to generate strong cash flows. We are raising the low end of our adjusted EPS guidance and expect to deliver strong financial performance again this year. And with that, I'll turn the call over to Mike for a review of our financial performance in Q2 and our guidance outlook for the remainder of the year.
Michael McKenney: Thank you, Jeff. I'll start with our second quarter performance and some key records. Revenue was a record $274.8 million, up 12% compared to the second quarter of '23 and up 2% excluding acquisitions and FX. Gross margin was 44.4% in the second quarter of '24, up 90 basis points compared to 43.5% in the second quarter of '23. Excluding a 20 basis point negative impact from the amortization of acquired profit and inventory, adjusted gross margin in the second quarter of '24 was 44.6%, up 110 basis points compared to the second quarter of '23. This increase was principally due to higher margins achieved on our capital projects in all our segments and especially in our industrial processing segment. Parts and consumables revenue represented 63% of revenue in the second quarter of '24 compared to 62% in the prior year. SG&A expenses as a percentage of revenue increased to 25.5% in the second quarter '24 compared to 24.5% in the prior year period due in part to nonrecurring acquisition-related costs. SG&A expenses were $70 million in the second quarter '24, increasing $10 million compared to $60 million in the second quarter '23. This included an increase of $8.2 million from our acquisitions and $1.6 million in acquisition-related costs, partially offset by a $0.5 million favorable foreign currency translation effect. Our GAAP EPS increased 5% to $2.66 in the second quarter compared to $2.54 in the second quarter of '23, principally due to higher revenue and gross margins. Our adjusted EPS was a record $2.81 in the second quarter of '24, up 11% compared to $2.54 in the second quarter of '23. The second quarter '24 adjusted EPS exceeded the high end of our guidance range by $0.31 due to higher revenue and better gross margins than forecast. We had record revenue in the second quarter of '24 due to contributions from our current year acquisitions. All of our segments had higher-than-expected gross margins due to the mix of capital projects in the period. Adjusted EBITDA increased 20% to a record $61.8 million compared to $51.6 million in the second quarter of '23 due to record performance in our industrial processing and material handling segments for both adjusted EBITDA and revenue. The adjusted EBITDA margin was also strong in both of these segments, with our material handling segment achieving a record 23.2%. As a percentage of revenue, adjusted EBITDA was a record 22.5% compared to 21% in the second quarter of '23. We had a sizable sequential increase for adjusted EBITDA, increasing 18% compared to the first quarter of '24 due to strong performance in all three segments and especially in our material handling segment due to improved results in our bailing business. Our adjusted EBITDA margin of 22.5% in the second quarter of '24 represents the first time we've exceeded 22%. Turning to our cash flows. Operating cash flow increased 25% to $28.1 million in the second quarter of '24 compared to $22.5 million in the second quarter of '23. Free cash flow was up 69% to $23.1 million in the second quarter of '24 compared to $13.7 million in the second quarter of '23. We paid $59.3 million for acquisitions and borrowed $61.2 million, primarily to fund acquisitions in the quarter. In addition, we repaid $25.3 million of our debt obligations. Our other nonoperating uses of cash in the second quarter '24 included $5 million for capital expenditures and $3.8 million for a dividend on our common stock. Let me turn next to our EPS results for the quarter. In the second quarter '24, GAAP EPS was $2.66. And adding back $0.15 of acquisition-related costs, adjusted EPS was $2.81. In the second quarter '23, both GAAP and adjusted EPS were $2.54. As shown in the chart, the increase of $0.27 in adjusted EPS in the second quarter of '24 compared to the second quarter of '23 include increases of $0.20 due to higher gross margin percentage, $0.20 from the operating results of our acquisitions, excluding the associated borrowing costs, and $0.06 due to higher revenue. These increases were partially offset by $0.18 due to higher interest expense and $0.01 due to higher operating expenses. The operating results, excluding acquisition-related costs, from our acquisitions contributed $0.20 to our second quarter earnings. Recent acquisitions are included in each operating segment, and the integration process is going well. There are growth opportunities and synergies that we will work towards capitalizing on as we continue to integrate these acquisitions. Collectively included, all the categories I just mentioned was an unfavorable foreign currency translation effect of $0.03 in the second quarter of '24 compared to the second quarter of last year due to the strengthening of the U.S. dollar. Looking at our liquidity metrics on Slide 15. Our cash conversion days, which we calculate by taking days in receivables plus days in inventory and subtracting days in accounts payable, decreased to 124 at the end of the second quarter of '24 compared to 128 last year. Working capital as a percentage of revenue increased to 18% in the second quarter of '24 compared to 16.7% in the second quarter of '23 due to the lack of a full year of revenue in the calculation for our recent acquisitions. Our net debt, that is debt less cash, increased $42.7 million sequentially to $270.1 million due to borrowings for our recent acquisitions. Our leverage ratio, calculated in accordance with our credit agreement, increased to 1.22 at the end of the second quarter of '24 from 1.12 at the end of the first quarter of '24. At the end of the second quarter of '24, we had $67 million of committed borrowing capacity and an additional $200 million of uncommitted borrowing capacity under our revolving credit facility. In addition, our strong balance sheet and low leverage ratio allows us to access additional sources of capital if needed. Now I'll update our guidance for '24. We are raising the low end of our full year revenue guidance by $5 million and now expect $1.045 billion to $1.065 billion. Similarly, we are raising the low end of our adjusted EPS guidance and now expect $9.80 to $10.05, which excludes $0.60 of acquisition-related costs due to the inclusion of our second quarter acquisitions. We now expect GAAP EPS to be $9.20 to $9.45, revised from our previous guidance of $9.39 to $9.69, which included acquisition-related costs of $0.36. Our adjusted EPS guidance for '24 reflects our expectation for slightly lower earnings in the second half of the year. This is primarily due to lower gross margins expected due to the mix of projects and higher interest expense resulting from our acquisition borrowings. Our '24 guidance compared to '23 includes an unfavorable foreign currency translation impact of approximately $5.5 million in revenue and $0.09 on adjusted EPS. The unfavorable foreign currency impact represents a $0.23 decrease from our guidance given at the beginning of the year. Future actions by central banks may impact the U.S. dollar and other currencies, which could have a significant impact on our guidance. Our 2024 guidance includes the operating results and associated borrowing costs from our most recent acquisitions completed in the second quarter. Both GAAP and adjusted EPS guidance are calculated using our initial estimates of purchase accounting adjustments, which are subject to change as we review and finalize the valuation work for our 2024 acquisitions. Our revenue guidance for the third quarter of '24 is $257 million to $269 million. And our adjusted EPS guidance is $2.36 to $2.48, which excludes $0.05 of amortization expense associated with acquired profit and inventory and $0.04 related to acquired backlog. We continue to anticipate gross margins for '24 will be 43.5% to 44.5%. We expect recurring SG&A will be approximately 25.8% to 26.3% of revenue. This excludes acquisition costs of $2.1 million for the first half of '24 and backlog amortization of $2.8 million, including $0.6 million in the third quarter and $0.7 million in the fourth quarter '24. We now expect net interest expense of approximately $19 million. And we continue to expect our recurring tax rate will be approximately 26.5% to 27.5% in '24. And we now expect depreciation and amortization expense will be approximately $48 million to $50 million in '24. That concludes my review of the financials, and I'll now turn the call back over to the operator for our Q&A session. Josh?
Operator: Thank you. [Operator Instructions] Our first question comes from Ross Sparenblek with William Blair. You may proceed.
Ross Sparenblek: Just given the recent M&A, it'd be great to just get a sense of what the organic growth was for price consumables in the first and second quarter.
Michael McKenney: One second there, Ross.
Ross Sparenblek: Just knowing that, yes, all 3 of those were highly accretive to parts and the growth has been pretty -- material as of late.
Michael McKenney: I don't have it parsed by parts and consumables. I have it in aggregate. So I'll have to come back to you on that, Ross.
Ross Sparenblek: And then maybe just given the lumpy start to 2023, if it kind of normalizes bookings, are we to kind of think that this is a run rate and the first half was more just normalized? Or is there anything else to read into that may have affected the kind of -- 250 that we stand on today?
Jeff Powell: Well, I think as we started to talk about kind of this time last year, we thought that the first half of the year would be similar to the back half of last year and that things might start to accelerate a little bit in the second half. Obviously, the first half of the year has been -- I think certainly, North America has performed a little better than I think the Fed's thought. And so it's obviously impacted their timing on interest rate cuts and the reacceleration of the economy. That's why now we're kind of saying we think things are going to be fairly flat, where before we were thinking that maybe we have seen some rate cuts by now and that things would be accelerating a little bit. It's all -- as you know, parts have been quite strong. It's really the capital. And there's a lot of activity. There's a lot of projects there. It's just a question of timing. And I think a lot of our customers are waiting for a signal from the Fed that, okay, things have bottomed out, and we're going to start to cut rates and reaccelerate the economy. So we're being, I think, reasonably cautious as you know, we always are on our outlook for the back half of the year.
Ross Sparenblek: So if we're taking $25 million of acquisitions bookings every quarter, then the implied, if everything is flat in the second half, is maybe 5% down organically for the year for bookings?
Michael McKenney: Yes. That's about right, Ross.
Ross Sparenblek: And maybe just one more on bookings, if I can. Second quarter on the capital equipment was in line with expectations, but steel is down probably 40% year-to-date. So maybe just give us a sense of where that shift out on price and volume? Then anything else you hear from customers? I know you noted that industrial processing is set to improve in the second half, which could be a little bit of outgrowth.
Michael McKenney: So go back on that, Ross, are you talking on the bookings front?
Ross Sparenblek: Yes, the bookings. So it looks like you had, what, equipment was $73 million, roughly flat with $77 million, but we do have some deflationary steel in there. Just trying to get a sense of volume or the underlying demand.
Michael McKenney: Yes. I'd say it's really -- it's kind of -- it's tied to volume.
Operator: Our next question comes from Kurt Yinger with D.A. Davidson. You may proceed.
Kurt Yinger: Just wanted to start on the outlook. Can you maybe just talk to kind of the organic performance that's assumed for Q3? And if I think about kind of the DSTI acquisition now rolled in, very modest uplift to the full year outlook. Is it fair to still look at that as kind of contemplating very low single-digit kind of organic declines this year?
Michael McKenney: Yes, I think that's fair, Kurt. In my comments, I mentioned that from our January forecast to our July forecast for the year, we lost $0.23 due to translation and FX. And on the -- that's, of course, EPS on top line, we lost about $17 million. So we're fighting a little bit of a headwind there.
Kurt Yinger: And I guess just going back to bookings. I mean, how would you kind of describe the 2Q performance relative to your expectations? And I guess, in terms of kind of potential timing of improvement on the capital side? Do you feel like shipments and sales on that front are pretty well spoken for at this point? And what you're seeing kind of over the back half of the year is largely going to determine how the beginning of 2025 sets up?
Jeff Powell: To your first question, I think the parts were stronger maybe in the quarter than we expected, and I would say capital was maybe a little weaker. Again, just based on the timing of projects. As far as capital going forward, I think, again, it's -- the timing is just when you're in an uncertain time like this, the timing of these things, if they just shift a week or two, of course, can have a big impact. But our smaller capital projects, if we still book -- as we book those, say, in the third quarter, we would still expect to see some of that hit the revenue line this year. The bigger projects, of course, some of those are on kind of percent completion or over time. So you'll get some revenue on those. But your point is well taken that as the year progresses, that capital bookings start to shift more towards those new bookings start to shift more towards next year as they get late into the year.
Kurt Yinger: And then just lastly, on gross margins. It sounded like the performance there on the capital side was better than expected. I mean, was that just kind of a mix of some of the sizes of projects or what, I guess, operating segments they fell in? Or was there anything else that might kind of persist benefiting the margins on the capital side?
Michael McKenney: Well, yes, both -- I would say, both compared to last year and against forecast, we performed better on our gross margins on capital. And to -- overall, broadly on gross margins, we've -- I'd say the last few quarters against forecast, our gross margins have come in stronger. So of course, very -- as you recall, we had very good gross margins in the first quarter and strong gross margin performance again here in the second quarter. In the back half of the year, we're looking at gross margins down slightly. But I think that's an area of potential opportunity for us if we can continue to outperform on the gross margin front.
Kurt Yinger: And I guess, is that just a little bit kind of better pricing management? Or maybe anything to do with some of the 80/20 initiatives?
Michael McKenney: I would say 80/20 is an important part of what's happening on the gross margin front. And then when I look at -- on the capital, just looking back against second quarter of '23, we -- I think the capital margin performance was relatively weak there. But we -- and then we came in this quarter with strong performance. So it really, really stood out.
Operator: Thank you. Our next question comes from Gary Prestopino with Barrington. You may proceed.
Gary Prestopino: I just have a question on the EBITDA margin, the adjusted EBITDA margin. You retained a record this quarter. Is it possible, given the sales outlook that you have that you're going to be able to keep it at 22% for the back half of the year?
Michael McKenney: I don't think that will be the case. With -- so I would be -- with the margins, gross margins, coming down modestly. I think that will water down the EBITDA margins accordingly so.
Gary Prestopino: It's just that some of the puts and takes here with the interest expense and then the DNA that you've cited for the year is going to be higher than I expected. So I was just wondering how that would all flush out. But we -- we should be below that 22% threshold for the back half of the year?
Michael McKenney: Yes. I think yes, and I think we'll finish out the year, of course, below that mark.
Operator: [Operator Instructions] Our next question comes from Walter Liptak with Seaport Research. You may proceed.
Walter Liptak: Great quarter. I want to ask about the -- just to make sure I'm clear on this. The organic orders, I think you said were, across the board, up about 5%. Is that right?
Michael McKenney: Yes.
Walter Liptak: And I wonder if you could just break out how that trended on parts versus capital projects?
Michael McKenney: Yes. That was, I think, similar to what Ross was asking on. So I would say it was kind of split between the two, parts would be the stronger component.
Walter Liptak: And then I guess a follow-up too from that prior question. Just wanted to make sure I understood that in the back half, you're thinking that the orders that we should be expecting would be down about 5%? Or was it down not 5% in the back half of the year, but -- but down 5% for the full year?
Michael McKenney: On the -- for organic for the full year, yes, that's fairly close. I have this down about 4%.
Walter Liptak: So that implies that we should be thinking about just the CapEx projects in the back half of the year just not being as strong because of some of those timing issues or whatever that you talked about?
Michael McKenney: Yes. We've said on the bookings front, kind of demand being relatively consistent with where we are currently.
Walter Liptak: And then I wonder if you could talk about sort of the geographic regions and where -- the pluses and minuses across the three segments?
Jeff Powell: I can talk qualitatively that North America has, of course, held up better than I think most people had expected. China continues to struggle coming out of lockdown and some other structural issues they have, frankly, around the drivers of their economy being principally development. And then Asia -- or the rest of Asia is doing a little better. And then Europe, you've got -- you have to kind of look at it country by country. I would say Germany and Holland were probably -- and the U.K. were probably technically in a recession. I think, and maybe they're back to being kind of flat. The European bank is starting to cut rates there. So the hope is that we'll -- as we move into the end of this year and into next year, we'll start to see those economies to reaccelerate as the rate cuts continue. So that's kind of qualitatively kind of what we're seeing. It's kind of -- it's been pretty consistent actually for the last several quarters, and we think it's going to be for the next few quarters. But North America -- North America, of course, being the strongest.
Operator: Our next question comes from Ross Sparenblek with William Blair. You may proceed. Ross, your line is now open.
Ross Sparenblek: Can you guys hear me? There we go. Back on the geographic, I mean, if you could maybe just parse out what the strength has been in North America? And then also second question, just on Asia. Is it just China a couple of years of over-earning and we're kind of hitting a run rate? I know the OSB business sounds I guess, pretty strong there, and you guys are continuing to outgrow the market. Just to get a sense, what products or businesses directly are driving those.
Jeff Powell: Yes. I would say in North America that all the businesses are doing quite well. Of course, the material handling side, we've had some record performance there. The parts have been very strong on flow control, which is a very big driver of our business. And then all the industrial processing group has done well. So all the segments have just performed better than the rest of the world because of the economy -- our growth rates held up more so than the rest of the world. China has got an issue that their personal consumption is down. They focus on exports, which -- to countries that are soft. And so much of their internal growth would be driven by development by buildings, frankly. And they overbuilt, and they're trying to sort through that. They've had some other major developers declare bankruptcy or be taken over by somebody else. So they're just trying to get their economy back on track. I don't think this is a long-term run rate. I think they've got some structural issues they've got to work through, and then I would expect they'll -- things should start to improve there a little bit. But it's taken some time because they were in lockdown for substantially longer period than the rest of the world. And so -- and they're just kind of slower to address the structural issues.
Ross Sparenblek: But I mean as we think about just the overall decision to replace the lower efficiency mills every year, are you guys still seeing good share there? And is that staying on track? I mean, there's a nice run rate here and some stability. Or does it continue to deteriorate? Or [Indiscernible] specifically?
Jeff Powell: You talking about globally or just in China?
Ross Sparenblek: Just in China.
Jeff Powell: In China, our market share is holding up well there. We've always had kind of about 70%, 75% market share. That continues to hold up. They tend to buy, as we talked about many times before, they tend to buy in slugs. So they'll buy a lot of new capacity, they'll put it online, get it up and running and the smaller inefficient guys will go away. And that's kind of a 2-year, 3-year cycle, and then they'll buy another slug. And so that kind of -- that tends to be the way they buy. We're often amazed that they continue -- when operating rates are quite low, that they'll continue to add new capacity. And as I think I mentioned before, a part of that is because it's a big country and transportation costs are starting to become impactful. So they're now starting to build mills across the country closer to the demand so that they can reduce their transportation costs. So you're seeing mills start to spread out around the country. But our market share continues to hold up. They're just, right now, I would say, in a lower buying period of the cycle.
Ross Sparenblek: Is there anything we could look at as like a leading indicator to get a sense of this dynamic of expansion into the Tier 2, Tier 3 cities? Just continue to look at customer CapEx is only a few guys and indicates a pretty big slowdown in the horizon, but that doesn't seem to correlate with the strength you guys are seeing.
Jeff Powell: Well, it's a funny thing. If you look at the fast markets, which is probably the leading economic group out there following them, and you look at the data they've published over the last 20 years and you look at what China has done, they always invest more than you would think that the underlying fundamentals would indicate. And that's because of 2 things, because a lot of these smaller mills do go offline, and it's hard to capture that -- the small guys and they go offline. And also, it's often driven by concerns about permitting in the future. So for instance, as they put some of their climate change initiatives in place, these mills get concerned if they don't get the permits and they approve it to build now, it may be more difficult in a few years to do that. And so that's why you see them spreading out into other parts of the country and securing the permits and starting these projects now because it's -- they believe it's easier now than it might be in the future. Nobody knows how difficult it may become, but that's one of the rationales that we often hear. They want to get these things permitted while the environment is still supporting them.
Operator: Our next question comes from Kurt Yinger with D.A. Davidson. You may proceed.
Kurt Yinger: Just one follow-up. If you look back kind of over the last two years, we've seen capital equipment sales outpace capital equipment bookings, which would make sense as you kind of work down the backlog of projects kind of from the 2020-2021 time period. I guess if we look forward and say capital equipment bookings are going to be pretty consistent in that $70 million to $80 million range, would you expect a lot of variability still on kind of the sales side? Or do you think that would be a relatively good proxy for how to think about the revenue?
Michael McKenney: Well, I think it's a reasonable proximity on the revenue front also.
Kurt Yinger: Is there anything over the last -- okay. Is there anything, I guess, in the last two years, if we were to look at bookings versus sales on the capital side that would have maybe changed versus the past in terms of how sales are recognized in conjunction with bookings and the timing or anything around that? Or do you think it's mostly just kind of that backlog dynamic?
Michael McKenney: The backlog dynamic is playing a big role in what you're seeing on the revenue front.
Kurt Yinger: Okay. Got it. Thanks, Mike.
Jeff Powell: I mean capital bookings have been what we would consider to be on the softer side now for several quarters. As -- when interest rates started to go up, capital bookings, I would say last year, certainly from the second quarter on last year and in the first two quarters of this year have been on the weaker side of what we expect as a normal run rate. So as I said, we're -- I think everybody is waiting for the Fed to declare victory and try to get the economy starting to reaccelerate.
Operator: Our next question comes from Walter Liptak with Seaport Research. You may proceed.
Walter Liptak: Maybe as a follow-up to a prior question, you guys started talking about market share, I think, in China. But as we think about market share sort of globally and just how you're running the business. I think we all kind of think that because of sort of your -- the management of the Kadant businesses and the M&A, the 80/20 process, you guys might have more commercial muscle than you did in the past. And so I wonder if you feel like you're gaining market share in either for the capital projects or aftermarket?
Jeff Powell: Well, as you know, Walt, we have got a very high market share in most of our markets already. But we -- I think we have picked up market share in certain areas. I think on the -- certainly on the OSB side, over the last 10 years, we've picked up substantial market share. We've gotten the bulk of almost all of the new orders in the last 10 years. And so our market share in that particular business has improved. As you know, we also introduced new products so that we generate new revenue from existing customers. So you're not necessarily picking up market share from a competitor. But what you're doing is you're generating new revenue with a product that didn't exist before that you're selling. So you'll generate more revenue from those -- from a given customer. So I think it's a combination of both of those things. But we have very, very high market share in most of our markets already.
Walter Liptak: How about on the aftermarket side? Is there like a program or process? Or do you think it's just a market that's improved as capital projects are a little slower?
Jeff Powell: No. I think if you look at our R&D, an awful lot of R&D money, it centers around supporting the aftermarket business coming out with new aftermarket parts that are performed better, last longer give you a better return on your investment. And so that's where a lot of the R&D effort is and we see the benefit of that as our parts revenue continues to increase. And that is an area where -- you do have a lot of smaller competitors in there trying to steal that away. So there is opportunity to pick up as there's opportunity to lose market share, there's also opportunity to pick up market share there as we introduce -- kind of continue to innovate and introduce kind of new products that perform better and give our customers a better return on their investment.
Operator: [Operator Instructions] And I would now like to turn the call back over to Jeff Powell for any closing remarks.
Jeff Powell: Thank you, Josh. So before wrapping up the call today, I just want to leave you with a few takeaways. Despite the weaker economic conditions in certain areas of the world, the second quarter was another record-setting quarter and our operations teams deserve a lot of credit for producing these results. We have strong market positions and expect stable demand during the second half of this year as project activity continues to show signs of resilience. And with that, I want to thank you for joining us today, and we look forward to updating you next quarter.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.